Operator: Good morning and thank you for waiting. We would like to welcome everyone to AmBev's First Quarter 2016 Results Conference Call. Today with us, we have Mr. Bernardo Paiva, CEO for AmBev; and Mr. Ricardo Rittes CFO and Investor Relation Officer. We would like to inform you that this event is being recorded and all participants will be in listen-only mode during the company's presentation. After AmBev's remarks are completed, there will be a question-and-answer session. At that time, further instructions will be given. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of AmBev's management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and, therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of AmBev and could cause results to differ materially from those expressed in such forward-looking statements. I would also like to remind everyone that, as usual, the percentage changes that will be discussed during today's call are both organic and normalized in nature, and unless otherwise stated, percentage changes refer to comparisons with Q1 2015 results. Normalized figures refer to the performance measures before exceptional items, which are either income or expenses that do not occur regularly as part of AmBev's normal activities. As normalized figures are non-GAAP measures, the company discloses the consolidated profit, EPS, EBIT and EBITDA on a fully reported basis in the earnings release. Now I'll turn the conference over to Mr. Ricardo Rittes, CFO and Investor Relations Officer. Mr. Rittes, you may begin your conference.
Ricardo Rittes: Thanks, Kate. Hello everyone, thank you for joining our 2016 first quarter earnings call. I will now guide you through operational highlights of Brazil, CAC, LAS, and Canada, including our below-the-line items and cash flow. And after that, Bernado will give you additional color on our operations during the quarter, and we will also explain why we see our top-line and EBIDTA performance improving in the quarters to come. We will then move to Q&A. Starting with our consolidated results, we had a soft start of the year, as positive results in CAC, LAS and Canada were offset by a negative performance in Brazil, especially in beer. Top-line was 2.6% with a volume decline of 7.7%, and net revenue per hectoliter growth of 11.6%. EBIDTA was up, 1.1% to BRL5.3 million with an EBIDTA margin of 45.5%. In Brazil, I would like to highlight that the first quarter results were weak, as anticipated, and that we are not changing our guidance for the full year. Top-line line was down 4%, and EBIDTA declined 5.5% in the country, lasting [ph] a comparable basis of 18% growth in the first quarter of 2016. Beer volumes were the main driver for such results. On top of the adverse macroeconomic environment, we faced a hard comparable base mainly due to early Carnival and price increases to mitigate taxes, not only impacting an already-depressed industry, but also leading to unexpected market share loss in the quarter. As a consequence, beer volumes were down 10%. Net revenues per hectoliter was up 6%, driven by a revenue management strategy, including the benefit of premium were partially offset by the higher mix of returnable glass bottles in our total volumes, RGBs, while EBIDTA margin accreted due to a significant lower cash COGS per hectoliter, carry a lower relative net revenue per hectoliter, where net revenue per hectoliter growth not fully offsetting volumes. Beer net revenues were down 4.6%, while negatively impacting our top-line, the growth of RGBs helped us mitigate a good part of the currency and inflation headwinds, driving a strong COGS performance in the quarter, also helped our hedges and procurement savings, cash COGS per hectoliter was up only 2.9% in the period. We also overperformed on SG&A driven by low to mid single-digit growth of sales and marketing and distribution expenses and a decline in administrative expenses. As a result, cash SG&A was flat in Brazil beer in the first quarter. Other operating income was down driven by top-line decline and geographic production mix. Despite our COGS and SG&A performance, Brazil beer EBIDTA was down 8% in the quarter. In Brazil, CSD & NANC, the carbonated soft drink industry continue to be pressured by a negative disposal income growth. Our volumes were down 3.8%, better than the industry performance as we estimate. Within the energy drink, Fusion continued to overperform, growing volumes, and became the second largest energy drink brand in Brazil, with a net revenue per hectoliter increase of 3.7%. Brazil CSD & NANC top-line was flat in the quarter, despite that, reduced CSD & NANC EBIDTA was up 13.3% in the quarter mainly driven by a low single-digit increase in cash COGS and a mid single-digit decline in cash SG&A. Turning now to CAC, Central America and the Caribbean; we delivered another very strong quarter with EBIDTA reaching 379 million coming from 218 million in the first quarter of 2015. This was a 28% organic increase and a 74% nominal increase. This outstanding performance was mainly driven by double-digit volume growth and solid EBIDTA margin expansion of 260 basis points. In the Dominican Republic, we further expanded Carnival Presidente, activating demand and growing top-line by connecting with our consumers through relevant platforms. In Guatemala, we continue to improve our execution with with Brahva and Modelo brand, especially Corona, with a strong summer activation. Along with strong top-line, our BIDTA performance also benefited from our solid financial discipline, leveraging on both COGS and expense saving, mainly in the Dominican Republic, expanding our EBIDTA margin for another quarter. Now moving to Latin America South; our top-line was up 15.1% and EBIDTA 15.4% above that of last year. Our volumes were down 10.4%, but adjusted by the Peru CSD exit in the third quarter of 2015, this decline would have been of mid single-digit, mainly due to macroeconomic conditions in Argentina, which were partially offset by, number one, in Paraguay, we had solid performance for mainstream premium [ph] portfolio mainly with Budweiser; and number two; in Chile, along with another quarter of great performance of Corona benefited from the successful incorporation of Budweiser through our portfolio in the country, with the CSD & NANC segment in that region, while pressure by macroeconomic environment in Argentina. We remain very excited with the Guaraná Antarctica rollout in that country. Net revenue per hectoliter increased by 28.6% in the region, explained by our solid revenue management strategy linked to inflation and premium mix, with COGS and expense pressure by strong inflation mainly in Argentina and unfavorable currency movements, we continue to make use of our cost management capability and benefited from a better product mix to protect our profitability. Our EBIDTA margin was up 10 basis points to 44.9%. Moving now to Canada, reported volumes that grew -- reported volumes grew 5.8% mainly driven by beet industry expansion due to favorable weather and an extra selling day in the quarter. Number two, solid performance of Bud Light, Corona and Stella Artois, which each grew volume mid to high single-digit and Goose Island IPA which is among the fastest growing craft brand in Canada. And finally, the benefit of our strategic acquisition in the fast growing craft ready to drink ready-to-drink and cider categories, leading the 9th quarter in a row of market share gain. Net revenue grew 2.3% in another quarter good balance between volume and price. Net revenue per hectoliter increased by 1.2% mainly driven by revenue management initiatives and the benefits of premium mix, EBIDTA was up 5.7% in local currency benefiting mainly from our recent acquisition while flattish on an organic basis, negative impact from certainly devaluation and the higher investments in sales and marketing. Partially offset by lower administrative expenses and the phasing of distribution costs. Now moving below EBITDA; our net financial results totaled an expense of BRL1.2 in the quarter compared to BRL500 million last year as we already explained in the last quarter, mainly due to real devaluation and higher interest rate. Our interest expense increased in significant ways compared to one year ago, some of these expenses are cash, some of these non-cash and have an macroeconomic impact. In the first quarter, we had first interest income of BRL185 million driven by cash balance, mainly in Brazilian real, U.S. dollar and Canadian dollar as cash. Second an expense of BRL360 million due to interest expense of this expense roughly BRL160 million is a non-cash accrual related to the put option associated with our investment in Dominican Republic, as part of this [indiscernible] in our Dominican in 2012, our put option exercisable in 2019 was issued, which may result in an acquisition by AmBev of the remaining shares of [indiscernible] for a value-based on EBIDTA multiple. With non cash accrual expense increase over time as we approach 2019 as EBIDTA growth devaluate on more broader factors. Third BRL417 million loss from derivatives instrument mainly driven by the carry cost of our FX hedge, primarily linked to our COGS exposure in Brazil and Argentina. We have a disciplined hedge policy [indiscernible] we are always hedge in the U.S. dollar denominated portion of our COGS. In all countries operate along with any other cash risk that could arise from FX and commodity moves both in payables and receivables. This result is primarily linked to our COGS exposure in Argentina and one important thing to highlight is that, depending on the hedge instrument the cash impact may differ from the time of expense accrual and other important points is that, also depending on the instrument interest rate moves can generate no cash monthly gain or loss, which can explain the quarter volatility of the brand. Fourth, BRL245 million loses in non derivatives mainly due to non cash foreign exchange translation loss on intercompany loans which are offset by foreign exchange translation gains on equity, which have no economic impact. Fifth, other financial expenses were higher due to a one-time cash impact from roughly BRL200 million legal claim that became payable during the quarter. Our effective tax rate was 10.4% down 24.3$% last year. Along with the higher benefit from interest on capital, there were no material other tax adjustments versus a one-time negative adjustment of approximately BRL660 million reported in the first quarter of 2016, which was related to the company losses. At that time, we not only reflected these other tax adjustments as a one-off but also highlighted that this negative impact was expected to be reverted going forward, which holds through. Other financial expenses were almost fully offset by lower effective tax rate, normalized [indiscernible] being slightly down year-over-year at BRL2.9. In line with anticipated weak operational results, we also had a soft start of the year, regarding cash flow generation; I will guide you through the major drivers. Starting from similar net profit and cash flow generation before working capital acquisition of last year, we will describe impact of the working capital, given the fact that we have a negative working capital position, every time we grow our business, positive of working capital impact as cash generated by payable is significantly higher than utilizing the receivables and inventory, the opposite is also true and as a consequence of a tough quarter anticipated we had roughly BRL1 million cash flow coming from receivable but BRL3 as a result of payables. Cash generated from our operations was BRL2.3 while FX reached BRL7.7 million, in terms of cash debt, the normal high number for the quarter is expected to be diluted in the quarters to come and the shorter [indiscernible] we look at that line, the harder it is to reconcile the effective tax rate as alone in this quarter, we had the lowest effective tax rate which was 10% compared to 24% in the first quarter of last year. In summary, similar operational results this year cash flow generation accelerating in the quarters to come. During the quarter, we completed and paid for acquisition of Mark Anthony's Group a cash outflow of BRL1.3 and paid out BRL2.1 of interest and capital. Thank you very much. I will now move to Bernado before going to Q&A.
Bernardo Paiva: Thank you, Ricardo. Hello everyone. In the first quarter, we had mixed results, with a strong performance in Brazil, CSD & NANC, CAC, LAS, and Canada, and our weak performance in Brazil beer [indiscernible] anticipated drove a soft start on a consolidated level. So I would like to concentrate my comments today in two topics. One, what's exactly happening in Brazil beer in the first quarter, and two, why we see our performance improving in both top-line and EBIDTA in the following quarter? So starting with the topic number one, what happened in Brazil beer in the first quarter? First, we are facing a very challenging macroeconomic environment in Brazil. We know our industry tends to be more resilient [indiscernible]. Third, every time negative disposal income grew, every time you have negative disposal income growth as we have now, beer industry will suffer some strength. On top of this, we had a rate anticipated some simple earning but important headwinds, second we had a hard comparable base to the earlier Carnival that happened in the beginning of February in 2016, compared to late Feb in 2016. The sooner the Carnival, the sooner the summer ends in Brazil, historically we had a weaker first quarter whenever we face an early Carnival. Third, we also have hard comparable base tax. Given that the new federal tax model became effective only in the second quarter of 2016. First quarter of 2016 will be the only year-over-year comparison on an orange-to-apple basis, [indiscernible] tax also increased in some states. Every time we have tax change industry suffer for a couple of months before stabilize. Fourth on top of a very depressing industry the fact that we have to implement unusual [indiscernible] unusual price increase to offset high inflation and factors that's what challenge market share dynamics in the first quarter that we expect to be short-term in nature. Moving forward, let's discuss the second topic, why we see our performance improving in the quarters to come, one thing and an important thing I would like to stress, we are never pleased with these results, even in a single quarter, but we don't manage this business by month or quarter. We will always, always operate short-term guided by our long-term strategy. With that said, we had already anticipated a challenging beginning of the year in our 2016 forecast, with the plan to accelerate the falling quarters. The macroeconomic scenario continues to be at risk in the quarter and we expect no relief but we have already lapped the high comparable base of the first quarter and April volumes reflected this, trending much better versus the previous month. Along with that, we took advantage of this adverse scenario in the first quarter to accelerate top and bottom line initiatives there while not able to offset this quarter's weakness, we will play a key role in our performance going forward, particular emphasis is being given to our pack price strategy, with returnable glass bottles gaining weight in a material way in our total mix for the first time in many quarters. But not only that, when looking into the evolution of all of our five commercial platforms, we feel really confident about our strategy in order to deliver in 2016 while building our future. Elevate the core, brand preference trended higher for another quarter, again the positive trend of brand preference way above our market share, shows the full potential of our brand and allows us to plan accordingly to fulfill this potential in order words we do expect to recover our market share loss in the first quarter in a disciplined and sustainable way. Our premium [indiscernible] grew strong double digit for another for another quarter, with a solid performance of the full premium portfolio. Budweiser specially is the leader in the segment, premium preference is high and there is still significant opportunity to improve our performance. As a consequence even in this environment, we see premium growing ahead of mainstream driving positive price and within mix. With near beer, Beats family more than doubled it's volume with the Skol Beats Spirit launch in the first quarter. Brahma 0.0 continues to lead the non alcoholic beet segment in Brazil growing volumes by double digit in the quarter. Near Beet is already a reality in our portfolio, but the opportunity is much bigger by further improving our execution of Skol Beats Family and Brahma 0.0 and leverage on solid pipeline of new liquids, we will continue to target occasions where we have a low sell through, capturing incremental volumes in a profitable way. In the home occasion, RGB volumes grew 100% in super market, above 100% in super market and we want to do it in the right way making it sustainable. It's good for consumers, it's good for the environment and its good for margins. This is a huge shift in consumption in Brazil with important implications for the short and long-term, connected home occasion we have been accelerating our trade problems in both small and big off trade formats, improving the assortment and the mix of our product, implementing smart discount and rolling out CRM models. In the out of home, similar to Carnival sports and music events executive, we have been structuring ourselves to expand out activation in key selling moments, boosting experience such as St. John June festivals, regional parties and the Olympic Games. These are key opportunities to activate demand and build brands. Affordability also plays an important role in the out of home occasion, with the 1 liter returnable glass bottles growing volumes and mix year over year. Along with our focus on our top line we are also taking advantage of our cost management capabilities, which have helped us in the past to improve our profitability in different cycle, significant cost savings and efficiency gains were already achieved in the first quarter, setting a lean base for the year and we will continue, I repeat again we will continue to further impact our profitability in the quarters to come in a material way. In summary, we continue to focus on what we can control within our control everyday and boost initiatives to have a leaner and more agile organization. We remain confident in our initiatives to deliver solid performance in Brazil, in spite the weak start and volatility in a volatile scenario expected for 2016. We have no change to our guidance in Brazil for the full year and while Brazil represents closer to two-thirds of our results. Our international operation has proved to be a great asset throughout the years as we continue to do so, in 2016. Before closing, I would like to welcome the whole team from the Bank and tell you how excited I am with this partnership with other team with a big dream to reach the whole Brazil with the amazing juice and [indiscernible] et cetera in fun and cold bottle addressing the growing well being trend. With that, we can move to the Q&A. thanks
Operator: [Operator Instructions]The first question comes from Lauren Torres of UBS. Please go ahead.
Lauren Torres: Yes. Hi, everyone. Bernardo, not to be too short-term focused, as I know you are not that way too, but as you use the words that April was much better as far as volume trends versus the first quarter, I was just curious to get your perspective on -- you know, that was mostly a comparison point, or you think some of the initiatives that you have put in place really take fold in April. Yes, I guess, my broad question here is, when you provided us with Brazil guidance earlier this year, it's kind of the components of getting to that guidance have changed, meaning, if the environment gets tougher as the course of the year, if there is different things you need to do to get there.
Bernardo Paiva: Lauren, thanks for the question. I think that basically what you see is the plan that had been put in place. After this price increase in the first quarter, things that have been working well, and then, we saw positive results in all volumes, not falling [ph] due to the industry, but for the recovery of the market share. So, this is the main reason, those two things, I think that the industry can better [ph] and the recovery of our market share is going on, as we speak. So that's why we had the better volumes in April. So basically it's that. I don't know if it's clear for you.
Lauren Torres: Clear. Like I said, I am just trying to get a sense, maybe even other words that you used with respect to material procurement savings and efficiency gains that came through in the first quarter and will get you leaner for the rest of the year, I mean, was it always weighted to the first half of the year? I am just trying to get a sense of the timing, because it seems like some of the margin contraction and pressure we saw in the first quarter maybe a bit amplified and that's kind of the reason why we should expect things to trend better course through the year?
Bernardo Paiva: I think in terms of the -- on the cost side of the business, I think, was your main question, second question. I think that seasonal volumes [indiscernible] of owners, I mean, we always try to operate in a leaner way. And then I think that the flip side, one of the silver lines of this macroeconomic environment is that you can operate better, I mean, operate more efficiently. Again, speed up new process, and with that, I mean, we expect to continue to have a good result in terms of costs side of the business [indiscernible] have put in risk of our future result, I mean, any risk [indiscernible] decision and market. And just to remind everyone, I mean, costs for us is not a one-off thing. It's part of our daily life, and there, these things are waiting and we need to go there and have a lower cost. The creativity of the team appears, and then you see great ideas and the faster implementation. So, we expect to continue to deliver in terms of cost saves throughout the year.
Operator: The next question is from Andrea Teixeira of JPMorgan. Please go ahead.
Andrea Teixeira: Hi, good afternoon. Thanks for taking the question. Just for Bernardo, and I guess, Rittes, as well, the one question that I have is below the line. I understand that below the line, you had a bunch of -- there is a legal, and if you can elaborate on the legal expense, what it relates to, as well, because that I understand is cash. And also with the Dominican Republic put option, that is also related to obviously the amount in dollars, but I'm just confused because we have been having that below the line impact since last quarter, and I understand like on a sequential basis, I mean, the Real has appreciated, and I understand that from Rittes' comment all fees are related to the growth in EBIDTA. So how we can reconcile, and so how clearer I would say related to first question as well, I mean, how little bit, we are seeing these expenses in your -- for all my years, I haven't seen anything of this sort of magnitude below the line. So I was just wondering if we can expect a little better over the course of the year, whether this activity should continue. So that's the one question Thank you.
Ricardo Rittes: Perfect. Thank you very much for your questions. Well, let me go a little bit in more detail again through the net financial results. The net financial results, total expense of BRL1.171 million versus 481 million in the first quarter of 2016, and it was mainly due to five things. First, interest income like we said is in cash, second the expense that is related to BRL160 million in this quarter is impacted by the BRL160 million of Dominican Republic. The way it works this is a put option that our partners in the Dominican Republic have against us. So we do have an obligation to acquire the business. We also have a call but this call does not impact, our P&L, this obligation that we have, the more the business grows, the more value is the business, the larger is the obligation. So, we are under more detail as you requested, at any given or fixed multiple, when you look at the nominal growth of that specific region of CAC which is 70% plus you should have a little bit of guidance of what to expect, that's the nominal process we report in Brazilian Real. Third there was a BRL470 million real derivatives instrument which is essentially the carry cost of our hedge, primarily linked to our cost exposure and we do have a business and hedge policies percent which we always in the U.S. dollar denominated portion of product. That goes both for Brazilian real and Argentine pesos alone. Of course in local currency every time has a bit of devaluation on a year-over-year basis, that's what we are comparing, that's why there was devaluation in year-over-year basis. The exposure in local currency increases and as a result of that, also the carry cost increase and another important point is that also saying on the instrument, interest rate moves generates no cash monthly gains or losses and finally the cash impact might differ in size for the extensive growth also depending on the instrument. So being a little more restricted it helps you to have daily cash settlement, going forward we have concentrated cash [indiscernible] and before it was BRL245 million in loan derivatives and this is essentially a known cash foreign exchange translation loss, inter-company loss, which were offset by foreign exchange translation gain and equity which therefore do not flow to the P&L. But nonetheless there is no economic impact and fifth, there is [indiscernible] financial expenses that were higher due to a one-time cash impact and legal claim that became stable this quarter.
Andrea Teixeira: So can you elaborate on the legal, what is this legal claim?
Ricardo Rittes: Absolutely. So, we have a -- that was a legal claim that we paid in advance during that quarter, because whenever we have an opportunity to anticipate liabilities [indiscernible] gain, we do it. So I think that's the extent we disclose the market.
Andrea Teixeira: I had trouble hearing you, I am sorry, could you repeat that?
Ricardo Rittes: Absolutely. That was a legal claim that we paid in advance during that quarter and the point is that whenever we have an opportunity to anticipate liabilities with significant increase in gain, we do it and I think that's the extent we are going to disclose on that specific.
Andrea Teixeira: Okay. And then going back, Rittes, on the hedge I mean usually like the counter, usually the hedge is supposed to be for example if you are long [indiscernible] here mostly, you had the appreciation of the real on a relative, you would have an impact negative below the line, but then on the COGS then you would have a positive impact. So obviously your gross margin declined in Brazil. So I was wondering decline of a consolidated basis, so I was wondering why we saw this mismatch, I mean obviously I am limited what I can see in Bloomberg and other codes, there is always like short-term, some mismatch on the timing, but I was just curious if you can talk to us, more in detail as to why this happened, specifically this quarter that we couldn't see in the previous quarters and previous years. I mean, usually it follows and if there is some de-leverage on operating leverage lower because the volumes are lower, I understand that, so perhaps if you can tell us, okay it could have been better, the gross margin would have been better and we have a positive impact tailwind from the hedges on the COGS but we had to get back much below the line because the real appreciated against our position in dollars. So can you -- I mean is that a fair assumption.
Ricardo Rittes: Andrea, if you don't mind, we can get back to you in more details, because the way we see it, like our COGS performance is significantly below inflation and is in line with the guidance for the full year, that we anticipate that reflect the benefit of our hedges, that reflect also the procurement initiatives that we have and I think I can go into more details with you specifically and then - year-over-year basis, I am not understanding exactly what the [indiscernible] on a year-over-year basis, first quarter of 2016 valuation compared to the first quarter of 2016. So I want to go with you later to understand to exactly what..
Andrea Teixeira: Yes, but I understand the hedge on this, the COGS side but the hedges don't have that -- I understand they are mark-to-market on a quarterly basis, right that's why - that's my trouble. But I understand we can talk…
Ricardo Rittes: Just to be very clear with you, just in terms of the hedging. The hedging doesn't go - the mark to market of the hedges into the P&L because we have hedge accounting, it only goes, specifically the hedging of that specific portion. So whenever the movement in the quarter of the fact as we have hedge accounts, it doesn't flow to the P&L, it's on carry cost of the hedge that flows into the P&L, I don't know if that's clear for you. I don't know if that answers your question.
Andrea Teixeira: Okay, that's fine. We will talk offline Thank you.
Ricardo Rittes: Thank you.
Operator: The next question is from Luca Cipiccia of Goldman Sachs. Please go ahead.
Luca Cipiccia: Hi, good morning. Thanks for taking my question. Just one about volumes and market share I think you made some comments how the season segments continue to do well, premium continue to do well, I was curious to understand whether there is sort of parked over strategy as well of maybe leaving behind sort of the low end or the more mainstream part of the market, at a time where you may not be as profitable as you would like. We have seen some of your weak competitors somewhat stabilizing after number of quarters of negative volume growth. So my question is really maybe you can qualify by segments the performance of the first quarter as well as whether there is some degree an intentional flexibility to lose some market share maybe in parts of the market, where you didn't see - you don't think they are attractive at this point in time.
Bernardo Paiva: Hi, Luca thanks for the questions. First of all, I mean every volume in Brazil is a profitable one, you are always trying to get that volume in any point of sale in any place, I think to the market share, I mean basically what happens it's simple to explain. So we never I mean we will never do price increase in the first quarter, I mean not the best moment of the year to do it and we have done that because we have state tax mainly in the end of last year, that was in some states, important values and as a company that leads that market, we like the price increase and every time that we lead the price, we will share and basically what happens, when you see a price increase that you have a comparable base in the previous year that you have the same price increase in the previous year don't see the variance in this market share. But as I said you before, it wasn't an unusual price increase given to the fact compared to a quarter last year that did increase price. So this is the main reason of this one-off in terms of the market share, that we saw in the first quarter, having said that, we have a recovery plan in a sustainable way that we include the use of the fact price strategy, RGB play an important role that understand the mix of regions of trends, how it can play with the portfolio of brands to really recover our market share in a faster way and then basically to show us the trend in the [indiscernible] of that, I think this is basically the market share that moves effectively by the core business that we have here, we have a kind of company side that's a premium company. They have P&L and everything, this premium company is growing a lot, the volumes of premium beer is growing strong double digit as I said before, we are leading the way with Budweiser in the premium segment and then growing a lot. So this is a silver lining of this market because the premium industry [indiscernible] is leading the way on this specific segment, and then another legacy of this tough scenario, external scenario that we are pushing. That could help us in the future, on top of the premium, a few important things. First the RGB industry just bear in mind that is always profitability with great band, good for the environment, good for the customer, good for the margin is a big, big change in the behavior consumption and the thing that I mean could last in the last season, the [indiscernible] start to grow again and the second thing all of those things of the key brand and selling moments that we are putting in place and stretching ourselves, we are learning more and more how attractive demand in key moments not only during the Carnival but in other moments during the year and then you see this of the year-end. So basically that's it, so in terms of the market share that's why we said it was a one month quarter in terms of d market share.
Luca Cipiccia: Okay very clear maybe just a quick on the brand just to, if you can share your thoughts on how much the distribution, your distribution could benefit in the expansion of that brand, given we are talking about a different product category maybe something you haven't operated before, is there any indication you can give us in terms of scale, market share or actually benefit from incorporating such a emerging brand into your portfolio could be interesting?
Bernardo Paiva: I think that's -- the first thing is to do brand has been screening the consumer and the need state for some years and dipping dive in the trends and we all know that they are well brand is growing in Brazil and will grow even more, I mean [indiscernible] really. So this is trend that is there, so I think that portfolio of grape juices and other liquid that we have there in the bank together for great image of that brand seem to be a great platform for us in the future. So this is the - why we bought this specific business. So I strongly believe that this will address the need state some of need states [indiscernible] being one that will grow in the country. I think to the other question how the - how can I mean reach more sports or not, I think that operational excellence is a obsession here, I mean we are doubling up our focus in operation with excellence because we know that the portfolio of brands is growing and then we are really focused on that, I think facing a lot consumer centric company, I mean we are pushing big, big time but together with operational excellence to be able to operate the portfolio of brands that we have and we apply this operational excellence to the portfolio to the brand. So that's why we think that this brand will grow, with a great partnership that we have with the [indiscernible] that's very creative entrepreneur team that will help us to grow this brand in the future.
Luca Cipiccia: Okay. Thank you very much.
Bernardo Paiva: Thanks, Luca.
Operator: The next question is from Rob Ottenstein of Evercore. Please go ahead.
Rob Ottenstein: Great. Thank you very much, I just wanted to revisit the returnable glass, the migration to returnable glasses you mentioned that this is a positive for margins, that it's profitable for you but on a liquid on a unit basis, is it does it increase gross profits or decline gross profits.
Ricardo Rittes: Hi, Robert. This is Ricardo. Well let me just go through a little bit the RGB impact, we are very excited with that going forward. So among other things the cash COGS this quarter benefit from the cost mix of RGB which Bernado said that grow more than 100% in the quarter. So roughly what happens is RGB carry a lower net revenue per hectoliter so its more affordable option for consumers but it allows also us with a much lower cash COGS for us, so as the credit, in terms of margins being also environmental friendly, so it health is good for the environment, it's good for the consumer and is good for the company. So that's one of those strength in which we find sweet spot being like great for the consumers, great for us and also great for society as a whole, that's why we are so happy and somehow excited with the growth of RGB year-over-year.
Rob Ottenstein: Okay but does it help your gross profit is that something that you are not able to.
Ricardo Rittes: Yes, absolutely. That's what I said, it's accretive, yes accretive.
Rob Ottenstein: To absolute gross profit on a per unit basis?
Ricardo Rittes: On a per unit or per volume basis because the returnable glass bottles that we are increasing is the 100 ml bottle depending on the size of the container that we are talking about, of course then you have to do per unit basis. But one of key elements of driving profitability is making sure that per unit basis, you have a less disposed value that's out of pocket, on a relative basis is a credit absolutely.
Rob Ottenstein: Okay and then can you talk about your relative competitive advantage in your returnable glass bottles, because if I were to think of the kind of growth that you are getting there and I understand why you lost market share, in terms of being a price leader, I would have thought that the tremendous growth that you are getting on returnable glass bottles would have offset a lot of that and I guess maybe the business is just too small to do that but, perhaps can you talk a little bit again your competitive advantage there and to what extent that is offsetting any market share losses and we will then further [indiscernible] to market share gains later in the year.
Bernardo Paiva: Hi, Rob. It's a very good question thanks. I think I mean we know that basically in the operational skills that we have a proposition and the brand that we have the RGB will help us in the market share but it is helping this month, in April. But in the moment, that to increase price and you leave the price increase that's specific moment it was during the first quarter, I mean the history of all price increase that we had in our history, in our brand, we will share [indiscernible] but the recovery and how you structure price strategy the brand like it, shows that it can recover faster because you have a better price strategy and not only factor in a sustainable way that's the RGB brings to the table as well, because one way cans you can always, I mean if you reduce prices, get share back faster but it's not sustainable. RGB means sustainable market share growth.
Rob Ottenstein: Terrific. And then just one other follow-up, as you kind of step back and look at the consumer in Brazil on disposable income and consumer confidence all those different sorts of factor that drive demand and in your sense is it worse today then it was at the beginning of the year, have things stabilized, how do you read the consumer at this point, and how different is it today than it was at the beginning of the year?
Bernardo Paiva: Robert, we are facing adverse macroeconomic environment in Brazil and we expect a very challenging 2016 as you know, our industry tends to be more resilient than others but whenever there is a negative disposable income growth, it has an impact on our business mainly on volumes, that said as we anticipated before the first quarter presented some things [indiscernible] headwind despite the macroeconomic impact and the performance we saw, should not be extrapolated for the full year. We do expect our performance to improve in the quarters to come and Bernard just said, if the volumes are well trended than the first months of the year and we have jus confirmed our guidance for the full year. So I think in summary, we focus on the things, that we can control and things that we cannot control, we will live with it.
Rob Ottenstein: Thank you very much. Appreciate it.
Bernardo Paiva: Thanks, Rob.
Operator: The next question is from Jeronimo Guzman of Morgan Stanley. Please go ahead.
Jeronimo Guzman: Hi good morning I had a follow-up question on the RGB impact specifically on pricing, I mean we did see a big deceleration in the net revenue per hectoliter you mentioned that this have to do in large part by the higher mix of returnable, but I just wanted to understand where the impact seems to sudden as I thought that the returnables had already been increasing at a pretty fast pace in the last few quarters of last year. So just wanted to understand why the impact was bigger this quarter than what we had seen.
Bernardo Paiva: Hi, Jeronimo, thanks for your question. So let me start by saying that our strategy continues to be increase [indiscernible] income consumer in line with inflation and in fact offset. So that's one of the reason behind the tough quarter we could anticipate, of course for tactical reasons, we had different price initiatives in different regions, with different SKUs with different moments of year. So when you look at the short period of time, there might be some point above inflation some points, below but the strategy is very important to say doesn't change. Along with that, the growth in the quarter was partially offset by the increase mix of returnable glass bottles, for the first time in many quarters, RGB gained mix in a material way, RGB EBIDTA margin [indiscernible] relative net revenue per hectoliter, so negative impact our top line and when you look at the comparable base, we are lagging a year in which RGBs grew like Bernard just said over a 100% in super market, so total volumes of RGBs in the super market in Brazil grow over 100% versus the first quarter of 2015.
Jeronimo Guzman: Yes, I mean I guess what I saw was a little bit in the fourth quarter you had very strong growth in RGBs and you still have, I forgot what it was above 11% or around 11% revenue per hectoliter growth. So are you saying that maybe at the beginning of the year some of the price increases were still not quite catching up to inflation but for the full year, you will still see that strategy playing out.
Bernardo Paiva: Jeronimo what you are seeing is that when you compare the net revenue per hectoliter of 6% below that of the inflation, you have a mix that's different this quarter, first quarter of 2016 in comparison to the first quarter of 2015, but even when you compare and that's very important to highlight, as we are accelerating the trend, even when we compare, the weight of the total [indiscernible], the weight of returnable glass bottles in super markets [indiscernible] in the quarter has increase ever over the last couple of quarters. So this trend is accelerating.
Ricardo Rittes: And for reference the numbers that we have shared because we tend to share all the numbers of full year, in 2014, the wait of returnable glass bottles in super markets was roughly 4% in 2015 this number for the full year was 14.4% and what you are seeing is that, it has been accelerated over the course of the 2015 and accelerating this quarter.
Bernardo Paiva: The wait was much higher in the first quarter, in the last quarter of last year and then to be very candid I think that we are catching up with the operational part of the business in the super market to deal with demand because it seem to put great brand, all Skol, Brahma and [indiscernible] nice price points, good margins for everyone and in a moment like that and so people start to talk about not only for the billing part but how good is for the environment because you have to bear in mind, that the young adults, I mean people who are over 18 years old, today they are much more environmental conscience that I mean, I was to be when I was 18 years old. I think that is a important trend that's not only touch, it's an important initiative not only touch affordability but touch the environment and mindset that the young people have today.
Jeronimo Guzman: Okay. Thank you.
Bernardo Paiva: Thank you, Jeronimo.
Operator: The next question is from Carlos Laboy of HSBC. Please go ahead.
Carlos Laboy: Yes good afternoon staying on that subject what is your refillable glass mix now versus a year ago and you can invest more in RGB than anyone else in the industry, is this RGB strategy and it's economics powerful enough to carry you above 70% market share?
Bernardo Paiva: Hi Carlos, I mean, we don't comment in terms of market share but what we can comment in terms of the RGB, I think as I said before, it's affordable I mean great brand behind. Its environmental I mean in terms of the sense, it's great and then what we see is that everyone open for business, the consumer is open for business, the customer is open for business. So what we are doing [indiscernible] last year in every quarter expanding the volume, expanding the mix. We are catching up to operate even better in the stores together with the customers to assure that the demand of this RGB is well supplied. So it's important that the full strategy per channel. So we are adjusting as we speak as well, I mean power pack per channel it's pretty hard [indiscernible] RGB for the off trade than the 1 liter that's growing, that's growth, 1 liter is doing well, bringing affordability to the home trade channel. So I think that RGB is again, it's important that links the trends of I mean affordability environmental and then the last time that we push a trend would like that was in 2011 and then we had great results of market share. So that's why we think, that it's not the RGB the portfolio brands, the reference of brands are very, very important, the premium growing ahead of the premium industry, it's very important as well. But RGB strategy will be key for us to deliver the market share we want in the future.
Carlos Laboy: So what is your refillable glass mix now or this is about a year ago?
Bernardo Paiva: In terms of -- we can talk about that, but I can't for competitive reasons. But what I can say that in our mix, we see moving a lot, the mix off trade that was a chain, that we didn't have, the mix moving as well. But we have already as you know that, but even trade is evolving and off trade big time it was strong last year beginning of last year almost nothing to I would say in some areas 30% of our volume is, 40%, 50% depends on the state, depends on the area and the affordability issues that you have in relation to Brazil. So there is still room to grow.
Carlos Laboy: Thank you.
Bernardo Paiva: Thank you.
Operator: The next comes from Alex Robarts of Citigroup. Please go ahead.
Alex Robarts: Thank you, hi everybody, I wanted to go to central America and the Caribbean, the one question that I have relates to volume and profitability, this was actually for us a positive surprise, it's basically approached almost 10% of the group EBIDTA in the first quarter, larger than Canada and there seem to be because of the top-line a step up right in the margin. So I guess the question is, kind of several pieces but the 10% volume growth is this what you are seeing in the industry and if not who are you sourcing market share from, the last market share number I remember from a prior conference call was in the region 42% I mean is that, could you revisit that number for you are you above that and kind of strategically I guess when this SABMiller deal comes to a close and I know and I am not going to ask a specific ABI question here. But is it fair to assume that the competitive environment could actually change and soften considerably, would that kind of - the potential for market share gain in the region and would there any anti-trust issue, to the extent that you can comment on that, that would be great. So that's my CAC question, thanks very much.
Bernardo Paiva: Hi, Alex, thanks for the question. In terms of CAC the same platforms that we always talk to you here [indiscernible] core, [indiscernible] premium [indiscernible] is the same mindset, the understanding the consumer insight that we have there by the way based on the experience that we have there, that I have mean working in lot of places, the trends are very similar, the intensity of the trends are not but in terms of the strategy is the same, we are having here. As I said that industry is better, I mean like we have seen in Mexico, you see the same effect in Central America and the [indiscernible] so the industry is helping but we have been performing above the industry, in terms of [indiscernible] that we measure there, you have to bear in mind that there they not only have beer but in the Dominican Republic, we have I mean hard liquor as well and they are performing with beer and with hard liquor there and expanding the portfolio to the other island. So I think it's a sweet spot of a region, that's growing plus a strategy that the thing we are implementing in Brazil but implemented in a place that the industry grows. So it's a win-win because at the end of the day you can have less pressure for the interest side of business and because the industry is healthy and then you can accelerate and boost even more the platforms in not only the country that you operate but in other countries -- island that in [indiscernible] so that basically the reason that we are growing ahead of industry there and the thing that we will continue to grow very positive, we continue to grow in organic way there, so I think [indiscernible] add a comment.
Ricardo Rittes: No, I think just regarding the SABMiller transaction and high we cannot comment on that transaction and we have no comments on that one.
Alex Robarts: Right but just to understand I mean is it fair to assume that you have surpassed this previously released market share number of 42% and is there a reason to believe that perhaps what you have shown almost 300 basis points of margin expansion here, I mean that we are operating perhaps a high sustainable level of profitability in the region or might that - is it too early to call that.
Bernardo Paiva: I think, Alex, just to highlight what you said in your question and to put things in perspective. We had quite bit in 2012 and with that we have the economies of scale in order to run a business [indiscernible] and back then in 2012 like a very time ago, was roughly 200 million last year full years results EBIDTA BRL1.2 so that the type of growth. So to answer your question to the extent we can, the business is accelerating and we are very excited with the prospect of that business going forward.
Alex Robarts: Got it, Thank you.
Bernardo Paiva: Thank you.
Operator: That concludes our question-and answer-session. I would like to turn the conference back over to Mr. Ricardo Rittes for final remarks.
Ricardo Rittes: Yes. So I think that the final message, I mean, what we saw at that -- I mean, the countries; Brazil is [indiscernible] business here, but we able to see that other countries helping and continue to help in the future and related to Brazil specifically very confident that the strategy is right and will deliver last year what we want. So we just believe that, I mean, platform, number one, is always [indiscernible] of brand up growing quarter by quarter. So brands are doing well, I mean that's good, the portfolio is expanding and the brands are doing well; the premium more than 10% of our volume, volume up double digit Budweiser leading the segment, so, good for the present and good for the future, as well. We created industry, so be it double digit volume, Brahma 0.0 the same, RGB double the volume in the off trade and I mean [indiscernible] is important profitability and environmental and out of home, [indiscernible] selling moments is growing in out of home, will continue to help us as well. So we remain confident that we will deliver this year again as we have done last year. So thanks a lot see you next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.